Jeffrey Schreiner: Good afternoon, and thank you for joining us as we review JFrog's Second Quarter 2023 Financial Results, which were announced following market close today via press release. Leading the call today will be JFrog's CEO and Co-Founder, Shlomi Haim; and Jacob Shulman, JFrog's CFO. During this call, we may make statements related to our business that are forward-looking under federal security laws and are made pursuant to the safe harbor provisions of the Private Securities Litigation Reform Act of 1995, including statements related to our future financial performance, including our outlook for Q3 and the full year of 2023. The words anticipate, believe, continue, estimate, expect, intend, will and similar expressions are intended to identify forward-looking statements or similar indications of future expectations. You are cautioned not to place undue reliance on these forward-looking statements, which reflect our views only as of today and not as of any subsequent date. Please keep in mind that we are not obligating ourselves to revise or publicly release the results of any revision to these forward-looking statements in light of new information or future events. These statements are subject to a variety of risks and uncertainties that could cause actual results to differ materially from expectations. For a discussion of material risks and other important factors that could affect our actual results, please refer to our Form 10-K for the year ended December 31, 2022, filed with the SEC on February 9, 2023, which is available on the Investor Relations section of our website and the earnings press release issued earlier today. Additional information will be made available in our Form 10-Q for the quarter ended March 31, 2023, and other filings and reports that we may file from time to time with the SEC. Additionally, non-GAAP financial measures will be discussed on this conference call. These non-GAAP financial measures, which are used as measures of JFrog's performance to be considered in addition to, not as a substitute for or in isolation from GAAP measures. Please refer to the tables in our earnings release for a reconciliation of those measures to their most directly comparable GAAP financial measures. A replay of this call will be available on the JFrog Investor Relations website for a limited time. With that, I'd like to turn the call over to JFrog's CEO, Shlomi Haim. Shlomi?
Shlomi Haim : Thank you, Jeff. Good afternoon, everyone. And thank you for joining us. I'm happy to report that JFrog second quarter revenue exceeded our prior guidance driven by increased cloud consumption, expansion of our security solutions and continued the adoption of the JFrog Software Supply Chain Platform. Our 2023 Second quarter revenue was at $84.2 million reflecting 24% year-over-year growth. Cloud usage continue to accelerate as we expected delivering revenues of $27.6 million increasing 44% year-over-year. We also exceeded our profitability guidance with a non-GAAP profit of $12.1 million while still investing in our core team. Customers with ARR over $100,000 grew 813 compared to 647 in the year ago period, increasing 26% year-over-year. Customers with ARR over $1 million increase to 24 versus 17 in the second quarter of 2022, up 41% compared to the year ago period. These results reflect that the JFrog platform continues to be prioritized as critical infrastructure and that our three pillars of DevOps, security and IoT hold strategic value for our customers. Let me expand on what made Q2 another strong quarter for JFrog. Let's begin with the ongoing adoption of JFrog security solutions. Most organizations recognize the need for multiple DevSecOps capabilities, such as software composition analysis, contextual analysis, infrastructures, code security, leaks, secret detection, and container security among other key features that are included in JFrog Advanced Security alongside other JFrog offerings. As we noted in our previous call, we have ambitious goals to provide end to end security across the software supply chain with a comprehensive set of capabilities bundled together as a consolidated solution. We believe this approach will outpace and displace point solutions in the market. I'm pleased to report that in the short period since the availability of JFrog Advanced Security in the market, we already gained tens of customers that have added this capability to their subscriptions indicated that enthusiasm for Advanced Security is gaining momentum in the DevSecOps market, not only because of the advanced scanners and automation of software packages, but also the native integration with Artifactory that serves our customers as the single source of record. On that note, I'm excited to mention our recent security product release. As we know, in our industry over time, less and less software is being written as the original code. And instead, binaries are being brought in from the outside world, often open source. Many industry estimates know that up to 90% of software is comprised of open source packages, containers, and more all binaries, developers often cash public repositories to obtain these libraries from the internet to speed development and add critical features. While developers may be faster, these practices can unknowingly add security and compliance risk in the form of vulnerabilities entering the organization. This creates friction between developers who wants to move fast and security teams who don't want to compromise and require a clear understanding of the software's composition and dependency management. In partnership with our community. We build JFrog XRAY and Advanced Security is tools integrated natively without the factory to protect the software supply chain, and everything happening within the organization. JFrog has now shifted even further left to build a fence around companies to automatically and seamlessly stop malicious packages and unvalidated open source licenses from ever entering the organization. I'm proud to announce the general availability of JFrog Curation, which was released a few weeks ago in mid-July. This solution automates the curation of open source software entering an organization before the development process begins. JFrog Curation automatically checks for malicious components and policy violating software and prevents them from ever entering the organization and compromising security of the software supply chain. Policies can be defined centrally by security teams and apply at global scale across organizations. Many of our customers are already exploring JFrog Curation and we look forward to partnering with them. JFrog Curation is offered as the basic add-ons to the enterprise X or enterprise class subscriptions. Our goal is to enable JFrog users to gain the highest level of visibility and control over the software development lifecycle by delivering a consolidated solution that focuses on all of an organization's binaries. We will continue to bring innovative security solutions to the market and coupled them with Artifactory which already served millions as the database of DevOps. JFrog Curation joins the security suite of products offered by JFrog, all of which are available in hybrid and multi cloud versions. Next, I want to address customers expansion and tooling consolidation on the JFrog platform. The complete software supply chain flow is the flow of binaries, which uniquely positions JFrog as mission critical for every enterprise. As customers continue to streamline their operations with our platform, we see them consolidating tooling around the binary centric pipelines for both DevOps and security. For example, one of the Fortune 100 top five healthcare pharmaceutical and retail companies made a decision in Q4 of 2022 to migrate away from Google's container management cloud services. And some of that next was binary repository to the JFrog platform, consolidating the complete package management, development pipeline solution and container registries under one platform. Only a few months later, in Q2 of this year, they successfully completed the proof-of-concept with our team as they began to explore consolidation of the multiple security point solutions. As a result of this proof-of-concept, the customers decided to move away from Snyk to JFrog to cover the software composition analysis needs, and are now exploring JFrog other security capabilities as part of a strategi consolidation and standardization around JFrog’s platform. We believe tooling consolidation will continue to be both a macro trend and DevSecOps tooling imperative, this type of consolidation in our eye for our customers reflects the findings of a recent study conducted by Forrester commissioned by JFrog, the Force 30 AI report found that enterprises investing in the JFrog platform could expect a nearly 400 defend [inaudible] across three years, and that some organizations could expect to save up to 156 hours per developer per year, when utilizing JFrog DevOps and security platform. In their study, and enterprise with 1000s of developers could potentially save 10s of millions of dollars in costs over 36 months. These results reflect JFrog’s core business value of improving efficiency and productivity across an organization through automation and control of the binary flow. At the same time, Forrester noted in another recent industry report that, quote, JFrog is great for enterprises that place high value on software supply chain security. Customers are looking across the portfolio to discover ways to reduce technological and integration costs. And the JFrog platform allows them to fulfill this vision. I now want to focus on ongoing adoption of the JFrog platform across our three goals and high value enterprise subscriptions. When JFrog first entered the market, DevOps was not even a phrase. When we introduced XRAY as our first security solution a few years ago, DevSecOps was in its infancy. And today, we see the developers and development organizations are tasked with security, multiple programming languages, cloud native technologies, multi cloud deployments, open source management, software distribution and more. With the number of connected devices that must stay updated growing into the 10s of billions, software truly has no boundaries. We continue to see customers trusting JFrog with this boundless software delivery. For example, a leading biopharmaceutical company turns to JFrog to help them revolutionize medical supply processes with an innovative approach. Using a combination of software and connected devices, they aim to simplify how hospitals and medical staff consume and trace organic and inorganic medical inventories. Looking to guarantee the security and integrity of the extensive network of sensor driven devices in the field. They first considered JFrog Connect for the over the air software update, and as a fleet management solution. However, upon realizing the benefits of JFrog Artifactory as a universal binary repository, and JFrog XRY, an Advanced Security for mitigating software supply chain attacks, they decided to adopt JFrog platform as their system of record. Partnering with JFrog helped them to consolidate around a single DevOps and DevSecOps platform. And we look forward to working with companies such as this moving forward to change the way every industry thinks of delivering and managing software from developers to the secure distributed edge. Now, I would like to address JFrog view of the potential impact of generating artificial intelligence technologies within our software supply chain platform, security solutions and for individual developers. As we’ve previously noted, from a business perspective, we believe that AI powered [inaudible] of software will drastically increase the overall code created within organizations, and that's leading to an increase in the number of binaries being generated by developers or machines. As JFrog continues to be the gold standard in enterprise artifact management, we look forward to helping companies scale with our software supply chain platform, alongside their AI driven advances. More code equals more builds, more builds equal more binaries, which creates a huge opportunity for JFrog. We also see JFrog as an AI enabler for our customers. We already observed JFrog Artifactory, serving the repository for customers, machine learning and AI models. Machine Learning models are yet another form of binary and consumed in the organization as software packages. Therefore, managing customers AI processes and their major data at scale, locally, natively alongside other technologies generate incremental benefit from the use of the JFrog platform. The builders of AI models within companies are often Python developers and data scientists utilizing conduct Conda or Crun packages already natively supported by Artifactory. This reinforces JFrog as the single source of [inaudible] for company's development processes, as well as potentially the AI and ML ops initiative. Finally, regarding AI within JFrog, we are exploring several approaches that will enhance future version of JFrog DevOps and security solution, and we look forward to providing updates on our progress in the near future. With that, I'll turn the call over to our CFO, Jacob Schulman who will provide an in depth recap of Q2 financial results, as well as update you on our guidance for Q3 and for fiscal year 2023. Jacob?
Jacob Shulman: Thank you, Shlomi, and good afternoon, everyone. During the second quarter, total revenues were at $84.2 million, up 24% year-over-year, our stronger than expected revenues in the quarter were driven by continued threat of our cloud business and adoption of higher subscription tiers across the JFrog software supply chain platform. In the second quarter, our cloud business saw sequential expansion in customer usage, equaling revenues of $27.6 million, up 44% year-over-year. While we continue to see a slower pace of cloud migrations compared to the prior year, we're pleased with improving user strength during the first half of 2023. Going forward, we believe Cloud optimization will remain an ongoing exercise within large enterprises as customers continue to focus on efficient growth. We reiterate our baseline cloud growth rate of mid-40s during fiscal year 2023. Self-Managed revenues or on-prem were $51.8 million, up 17% year-over-year during the quarter. Overall expansion and revenue growth within our self-hosted business remains constrained relative to prior years as customer transition towards cloud and hybrid deployments, which has reduced organizational focus on future expansion within self-hosted deployment. We have received positive feedback from customers regarding JFrog Advanced Security and initial interest in JFrog Curation with many of these engagements being self-hosted deployment, we remain optimistic that our security solutions can be a potential catalyst to re accelerate revenue growth and customer expansion within our self-hosted business. Net dollar retention for the four trailing quarter was 120%, a decline of four point sequentially due to ongoing macro headwinds and low retention within our self-hosted business. We have started seeing the stabilization of MDR around these levels and continue to expect or net dollar retention for the year to be around 120%. Our gross retention continues to be 97% with no change in overall customer churn terms. In Q2, 45% of our total revenue came from enterprise plus subscriptions, up from 36% in Q2 of 2022, an increase in revenue contribution of 56% year-over-year. Now let me discuss our income statement in more detail. Gross profit in the quarter was $70.4 million, representing the gross margin of 83.6%, essentially flat with a year ago period, and in line with expectations as economies of scale and cost control have set high cloud revenue contribution. Operating expenses for the second quarter were $62.2 million, down $1 million sequentially, equaling 73.9% of revenues, compared with $58.8 million or 86.8% of revenues in the year ago period. During the second quarter, we've benefited from timing of certain expenses being pushed into the third quarter. We continue to remain focused on expense discipline, while continuing to strategically invest in go-to-market initiatives and technology innovation. Our operating profit in Q2 was $8.2 million or a 9.7% operating margin compared to an operating loss of $2 million or negative 3% operating margin in the prior year due to better than expected cost efficiencies. Second quarter net income equals $12.1 million or $0.11 per diluted share based on $108 million diluted shares outstanding versus a year ago net loss of $2.2 million, equating to a loss of $0.02 per diluted share. Turning into the balance sheet and cash flow. We ended the June quarter with $470 million in cash and short term investments, up from $443 million as of December 31, 2022. Cash flow from operations was $16.7 million in the quarter. After taken into consideration CapEx, cash flow was $16.2 million generated a $19.3 free cash flow margin. We reiterate our expectations for low double digit free cash flow margins in fiscal 2023. As of June 30, 2023, our remaining performance obligations totaled $213.6 million. Now, I'd like to speak about our guidance for the third quarter and full year 2023. Our full year 2023 expectations continue to estimate strong growth in our cloud business and ongoing expense discipline. For Q3, we expect revenue to be between $87 million to $88 million with non-GAAP operating profit between $6 million to $7 million and non-GAAP earnings per diluted share of $0.08 to $0.09, assuming a share count of approximately 110 million shares. I would note that third quarter operating expenses will include costs related to our employee merit increases in our swampUP User Conference, which will cause a sequential step up. For the full year of 2023, we anticipate total revenue in range between $343.5 million to $345.5 million. Non-GAAP operating income is expected to be between $24 million and $25 million and non-GAAP earnings per diluted share of $0.26 to $0.28, assuming a share count of approximately 110 million shares. Now let me turn the call back to Shlomi for some closing remarks before we take your questions.
Shlomi Haim: Thank you, Jacob. We continue to believe that JFrog is well positioned to achieve our plan goal into coming quarters and our customers ongoing commitments and partnerships alongside us validate the mission critical nature of our platform. Before we close, I want to thank the entire JFrog team for a strong quarter. Your resilience and passion are stronger than any macro headwinds. And the results speak for themselves. Q2 success belongs to you. I also want to invite everyone to attend our annual swampUP DevOps and DevSecOps User Conference in San Jose on September 13. I'm looking forward to updating the community on our major product and strategy announcements, alongside amazing industry and JFrog customers stories from companies like Fidelity, Breyers Games, Netflix, and others. Thank you all for joining us for our Q2 earnings call. And may the Frog be with you. Now, we'd be happy to take your questions. Operator?
Operator: [Operator Instructions] We'll take our first question today from Pinjalim Bora, JP Morgan.
Noah Herman: Hey guys, this is Noah on for Pinjalim. Thanks for taking your questions. Just want to double click a bit on the recent curation and feature you've just recently rolled out. Can you just maybe elaborate on how this has helped you ship more or less than DevSecOps lifecycle? And are you now targeting potential different buyer as you saw [inaudible] products? Thanks.
Shlomi Haim: Hi, Pinjalim. Yes. And we are very excited about the release of JFrog Curation. Actually, that was part of the plan of extending our DevSecOps solution and shift even further left, as I've mentioned, the buyers of JFrog Curation are actually a combination of the CIO office and the CISO office, the developers would like to have an automated way to enforce policies that are coming from the CISOs. And by that to avoid having each of the caching from public hubs of software binaries to get into the organization and to automate this whole process. So basically, it's a partnership between the CISO and the CIO. And still, this demand came from the DevOps and the DevSecOps engineers So I'm not yet really a few securities stakeholder but a combination of both.
Operator: The next question comes from Sanjit Singh, Morgan Stanley.
Chris Quintero : Hey, this is Chris Quintero on for Sanjit, congrats on the results. And thanks for taking our questions. I wanted to ask around the disparity between this slow work of 100k customer adds versus the 1 million plus customer add, I think was your -- you back that yourself, just trying to [square both those] will be really helpful.
Shlomi Haim: Yes, I will take this question. So our goal is to expand all customers. And we see diversification of the customers, between different segments. So specifically to expansion of million dollar customers, what we're happy to see that these customers actually come in from industries, that kind of outside of our traditional strong segments, technology and banking, those coming from other industries. And it just shows that the DevOps and DevSecOps capabilities that we offer important across multiple industries, we also see that our enterprise plus platform and subscription continues to provide a lot of value. You're absolutely right that in absolute number of in Q3, we added less than prior quarter. However, we see a lot of engagements over the last 12-trailing months, it's comparable to prior periods. So we really don't see any change in the trends here. It's probably just the more likely timing issues.
Chris Quintero : Got it, makes sense. And then I also want to ask around kind of the optimizations that you're seeing around JFrog Cloud side from customers, any kind of more color, you can give there and may kind of where we are in terms of timing, and maybe what -- we are with that with those optimizations?
Shlomi Haim: Yes, as you know, that on our prepared remarks, we continue to see expansion of our usage baroque by our customers previously, we know that we started the year like January was a very slow and still subject to optimizations. Then in March, we did see the pickup in usage, which trends continued in April and throughout the quarter. So we believe that those initial headwinds of optimization behind us, going forward, we do expect that customers will continue to put emphasis on efficient growth. But in terms of usage, we do our customers using more power platform, and therefore we expect that our cloud revenues will continue to grow in mid-40s for the year.
Operator: Next up is Kingsley Crane, Canaccord Genuity.
Kingsley Crane: Hi, thanks for taking my question. So I'd like to ask about duration. I think one of the most interesting aspects of it is that it's focused around developer velocity. Obviously, your platform appeals to all kinds of stakeholders. But I think in terms of an individual product, this is one of the more exciting ones for developers. So how do you think that will play out in terms of encouraging adoption? And then are you thinking this will more drive upselling to premium bundles or gain revenue through pricing ala carte.
Shlomi Haim: So thank you, Kingsley, curation in terms of the adoption will increase the usage of JFrog Security Solutions, the holistic software supply chain security, it comes as an option as an add-on to the enterprise X and the enterprise plus subscriptions. And it's, as mentioned, a buy seat by year model. So we are expecting to see the expansion coming from the adoption of JFrog Curation as well, not only by the number of enterprise brands and enterprise X users, but also by the number of developers in the organization in the enterprise that we use.
Kingsley Crane: Okay, thanks for let me that's very helpful. And then one on the financial. So want to talk about NRR? So I think that 120% is a great number. But if NRR is a trailing 12 month metric, I think declining four percentage points in one quarter is significant. So I think that would suggest that the encoder performance was well below so I guess, does that imply a reacceleration or a higher NRR in or are in the back half in order to reach 120% for the full year. Thank you.
Shlomi Haim: Yes, you are absolutely right, when you said that our net dollar retention rates declined 4% from prior quarter. This was actually in line with our expectations if we go when we guided the year, we did expect net dollar retention to go down to around these levels. Currently, we see stabilization around this level and expect to finalize finish the year with NRR around these levels.
Operator: Brad Reback from Stifel is our next.
Brad Reback: Great, thanks very much, Jacob, on the cloud consumption trends. Did July look a lot like June or did it actually continue to accelerate?
Jacob Shulman: Brad, I don't have yet the data for July, I cannot comment, during the month, we continue to see strong performance. But I don't have final numbers for July.
Brad Reback: Got it, no problem. And then Shlomi, I think last quarter, you talked about the global partner network and the momentum you were seeing there? And I don't, not sure if I missed it earlier in the prepared remarks. But any commentary on sort of rest of the world would be great. Thanks.
Shlomi Haim: Yes, that's a good point. Our partners and alliances program continue to accelerate, actually, I mentioned swampUP, our user conference happening on September 13. For the first time, we are also having a Partner Day a day before to celebrate into enabled over 100 partners that in the past year, we built the program with, aside of that the co-sell and co-marketing motion of working with all three clouds, AWS, GCP and Azure is also accelerating through the marketplace. So we are very pleased to see it not only by cloud goals, but also self-hosted partners and not only supported partners, but also by region by geography. And not just the DevOps, but also new security partners that join the portfolio.
Operator: Michael Cikos from Needham & Company has the next question.
Michael Cikos: Hey, guys, thanks for getting me on here. I just wanted to circle back to Jacob’s earlier comment around the NRR. I think it was that we expect to finish the year around this current level. And really where I'm going with this is I just like to see what gives you the confidence to see JFrog finishing the year at these levels? Is it based on maybe the tone of conversations with customers that the renewal base that you had coming to, just anything there would really be incremental?
Shlomi Haim: Yes, so when we think about our net dollar retention forecasts, first of all, we're looking at their renewal with our customers, and obviously talking to them and evaluating their plans. We're also seeing continued consumption trends on SaaS and commitments of our annual customers on SaaS. And finally, we're looking at the kind of overall economic environment and demand environment. And we see stabilization in that regard. And that's what gives us the kind of analysis of the pipeline, analysis of the opportunities that are in front of us for the second half of the year. That what gives us confidence that their net dollar retention will stay around these levels.
Michael Cikos: Great. And also, I appreciate the commentary around the customers that are adopting Advanced Security as well. I think a lot of us are excited about that offering. Can you help us through how your sales force or your go-to-market effort is driving awareness within your existing customer base to drive adoption and I guess what have -- what has been some of the early findings from those customers who have adopted it. At least did you think about feedback and building up those types of customer testimonials to drive additional success around Advanced Security?
Shlomi Haim: Yes, Mike, so just as you and we are also very excited about the results. To remind the public we announced JFrog Advanced Security pool hybrid availability in the first quarter of this year and into see so many of our customers are showing interest in some of them. 10s of them already paid for additional subscription. Obviously, these are great news for us. The main thing that our go-to-market team is focusing on is to map the renewals that we have ahead of us and see who are the XRAY customers that already uses JFrog T1 security XRAY software composition analysis, and also them obviously, the capabilities the JFrog advanced securities with offer. And the second therefore, goes to the market education. So attracting new customers, some of them we've mentioned in the call today, that coming to JFrog, mainly because of the consolidation. So they want to stop and see one software supply chain that not only provide one capability or two capabilities to secure your DevOps and DevSecOps team, but also the repository, the distribution process and everything around that. So these are the main two catalysts for the adoption. The fact that it's also available in the cloud and on-prem gives us obviously, the freedom to operate in different deployment environments. So that the plus is well. And the last thing is that since we are very transparent with our roadmap, we are speaking about XRAY and JFrog Advanced Security as available in the market in the last quarter. But now we added Curation. So really what we see from our customers is a demand for a holistic one stop shop for their software supply chain security, that also includes future roadmap items that also help us to build a pipeline.
Operator: Your next question is Jason Ader, William Blair.
Jason Ader: Yes, thank you. Jacob question for you. I'm just trying to figure out what's going on in Q4 with your guidance, because you guided to 26 to 28 for the full year. But you're at, if my numbers are correct, you're at basically 25 for the first three quarters based on your guidance for Q3. So that implies Q4 would have like $0.03 of earnings, and that would be the lowest of the year, can you talk us through what's going on there?
Jacob Shulman: So our actual results for the year for this, for the first six months are about $0.17. Last about $0.08 to $0.09. So it's about 24. So I think if you look at the operating profitability, we expect the operating profitability in Q4 to be comparable, slightly higher than in Q3. And I expect that EPS for Q4 probably going to be in kind of same levels comparable to Q3. So I hope that makes sense.
Jason Ader: But that math doesn't work. I mean, because if you say $0.27 is the midpoint for the full year. And you just said $0.25 for the first three quarters, right? And that would imply $0.02 for Q4. So maybe there's something going on below the line in Q4. But I get the operating income trends and looks like that's continuing to be pretty healthy. But Q4 EPS looks like it would be quite a bit below where the rest of the year has been. So I mean, we can avail offline if you want, but I just wanted to flag that.
Jacob Shulman: Thank you for your note. And I don't expect any outstanding items below the line in Q4.
Jason Ader: Okay. All right. And then maybe, Shlomi, I wanted to follow up on the last question just on the go-to-market side for security. I guess what are you guys learning about the go-to-market side for security and how that might be different for some of these packages that you are now offering for security that is different than what you've had to do in the past in terms of go-to-market.
Shlomi Haim: Yes. So regarding security, what we see is that it's a bit different, first of all, when it comes to DevOps, the bottom up mechanism is very popular usually being adopted by developers or DevOps engineers, and scale up by the size of the PO, maybe to the CTO, or the CIO, and so on. Maybe strategic decisions are being taken top down, like, let's say, migration to the cloud. But most of what we've seen and what -- most of what we build was from the ground up. In security, it's a bit different. The decision is first being taken by the security leaders, and then apply in the different groups of the company. What we also see, and this is quite interesting, we start to see a partnership between the CIO and the CISO when it comes to software supply chain security, on one hand, the CIO, the VP R&D, they want to be super flat, the security guys are trying to catch up with it. So any kind of automation that applies into the software supply chain is obviously helping those to bridge the needs. So we usually meet more than one persona over one PO when it comes to security, most of it would be top down. And most of it, most of these opportunities will take more than the average quarter or four month cycle to complete.
Jason Ader: Great. And is it -- are the budget usually the CISO has its own budget pool versus the CIO and the developer teams. So is that creating friction because you have to actually tap in to two different budget pools.
Shlomi Haim: So the strategy that we chose is, is a strategy of consolidating all the security solution into not all of them, but the majority of the security solution from the gate scanning to the binary scanning to the distribution to consolidated with the capabilities like secret detection, like software composition analysis, we discussed in the call the displacement of Snyk, the displacements of Sonatype, those were displaced by consolidation to a platform, usually when this is happening, there is a budget already marked by the CISO. And it's being compared to security that they already have. If there is a new capability like J JFrog Curation, obviously, it will be discussed to start with the CIO. And then they would probably bring the security stakeholders.
Jason Ader: Okay, so just to clarify, that's very helpful, Shlomi. Just to clarify the security tools that are sold into the DevOps tool chain, are those part of the kind of CIOs budget, are those part of the CISO budget? Or is that just depending on the company.
Shlomi Haim: Exactly. It depends on the company and the enterprise. Most of what we sell over 80% of the opportunities that we deal with, combination of discussion with both the CISO office and the CIO office. And we were also very pleased to see that in some organization, big one, including leading financial Institute, retail, the CIO and the CISO offices were already merged into one.
Operator: Your next question is Koji Ikeda, Bank of America.
Koji Ikeda: Hey, guys, thanks for taking the questions. A couple from me. Just kind of going back to curation. You mentioned earlier, the seat based model. So how do you think about the TAM for curation? Is it all the developers out there? Security folks, ops folks? I mean, is it all of them? How do you think about the TAM? And then second, part of the question on curation is because it seat based, where's it going to show up in the revenue recognition? Is it going to be in self-subscription self-managed to start and eventually break it out? Just trying to understand where it will fit? So we could begin to understand where it's contributing to growth.
Shlomi Haim: Yes, Koji. Hi. And I'll take the first part of the question, then Jacob can elaborate more about where it will be recognized. The tam of JFrog Curation is very much aligned with the tam of the DevSecOps market. Actually, we are after the opportunity to cover all the developers from outside the organization. So the reason that there is an alignment between the value and the way we price it, is that it goes by the number of developers that consume software packages from outside the organization. So let's say that you go to a public repository, and you want your software supply chain to be curated from the get go, it will be multiplied by the number of developers that are consuming this service. And obviously, with the combination of Artifactory and JFrog Advanced Security that sits on top of Artifactory and security or software supply chain from inside the organization, there is an alignment between the models. So it's basically all organizations are now using, based on research is 90% of the software that is being made in the world is coming from open source initiatives, software that is being cashed from outside the organization. And therefore it's relevant to all the organizations by the number of developers and so on. So we are looking at the same tam. The second thing, so it's the same tam, with a bigger market share. The second thing around that is, obviously the fact that the competition with this solution is completely different than the DevSecOps market that is very fragmented. There are not so many curations solution out there that are putting a fence between the organization and the public hub, and preventing you from bringing the logs for J the next step for J from the get go. So it's not just the time, it's also what is the size of the market shall that we can grab, by having this solution embedded to our platform.
Jacob Shulman: And with regards to the split between deployment types, it would be really since it's an add-on to existing subscriptions. So it will be dependent on the main subscription that the customer is subscribed for, if it’s self-managed, then it will be reported as a self-managed, if it's SaaS, will be report SaaS.
Shlomi Haim: And by seat in both cases.
Jacob Shulman: Right.
Koji Ikeda: Got it now that's super helpful. And then one follow-up here, if I may, wanted to ask about the million dollar customers and the 100k plus customers, you added $3 million ARR customers, which is the most I think you've ever added in a quarter sequentially. So congratulations there, the 100k maybe a little bit light versus recent quarters. So just trying to understand the dynamic between the 1 million plus and 100k.
Shlomi Haim: Yes, Koji, when we are looking at it, obviously, we are very pleased not only because of the size of the PO, but also the subscriptions that these guys are upgrading to, and the amount of capabilities from the JFrog platform that they are actually using while we are monitoring it. In the last six quarters, we added at least $1 million customers to this group, which also demonstrate an adoption or growing adoption of our platform. Regarding the over $100,000 customers, the 813, I'm looking at it, if I may, in a bit different perspective to add over 150 customers to this group in the last year during the recession, with all the new technologies that are coming and all the changes that we see in the market. I actually I'm pleased with the goal. And I'm expecting it to go even higher than that, when I'm looking at the pipeline and hoping to see the changes in the market.
Operator: Your next question is Michael Turits, KeyBanc Capital Market.
Michael Turits: Hey, Shlomi, Jacob. And good job on the quarter, you said that you are -- that optimization is largely behind you. And yet Microsoft and some others have talked about there being several quarters still to go on optimization. So can you maybe describe what might be different in terms of your cycle around optimization with some of the hyperscalers? And this could be an overlapping question, what's going on in terms of new projects and whether or not they're beginning to down new software development projects?
Jacob Shulman: Michael, I will take this question. I think big hyperscalers provide multiple different types of different workloads. And it's hard for me to comment what kind of work was impacted by optimization was what not? What we seen is that the DevOps that needs to be critical infrastructure and we see that in terms of data transparent storage, we continue to see growth sequentially in our systems. So it's really maybe the difference between what we seen and what hyperscale see is that the fact that they provide variety of different workloads, maybe that's what the impacts, they're kind of picture.
Michael Turits: So just another qualitatively then why is -- why does it make sense that your optimizations would have troughed that you want start to rebound earlier than theirs from it. And again, obviously, I'm not asking you to comment on their business. But that's a broad business where you're seeing, it seems like an earlier rebound.
Jacob Shulman: As we previously discussed, we monetize our SaaS deployments by data transfer and storage, and storage, more low hanging fruit, which we did see those optimization efforts accelerated about in Q3 and Q4 of last year, those were kind of more shorter time to optimization, data transfer optimization, typically more longer. Kind of efforts required. Sometimes it doesn't even make sense to for customers to focus on that because it requires significant engineering effort. So what we believe is that customers will continue to monitor their usage, they will continue to strive to grow efficiently. But the initial impact of optimizations were really behind us.
Shlomi Haim: Michael, I'll add to it, it’s Shlomi here. There is just much that you can dry out your infrastructure because of walls. With everything that comes in the security automation, software supply chain is getting enriched, and also need to deal with AI as we mentioned, some of our customers already started to use our infrastructure as the infrastructure for AI. These can be optimized up to a limit. And as Jacob mentioned, not necessarily can be compared to the big cloud companies. And we hear our customers telling us, some of them are also on pending mode, waiting for budget to be released, so they will be able to migrate to the cloud and grow even faster.
Operator: Next up is Jonathan Ruykhaver, Cantor Fitzgerald.
Jonathan Ruykhaver: Yesh. Hey, guys, thank you for getting me in. So GitHub recently claimed that approximately 46% of its customers code is already written by copilot and they actually said expect that to go to 80% sooner rather than later. They've also made some comments along the lines that copilot has accelerated customer growth and is making good GitHub more competitive around managing Git repositories. Now to your comments earlier, Shlomi, it seems fairly obvious that LLM will drive increasing market demand for Artifactory management broadly. But how do you see the competitive impact played out due to LLM? What is your strategy there?
Shlomi Haim: Yes, Jonathan, that's a great question. And as you know, there are a lot of discussions around AI and the regulations around AI and the panic around AI and the potential of AI and opportunity of AI. But let's kind of take it to the level that everybody understands more code, whether it's made by copilot or by developers creates more binaries, and more binaries create more opportunities for JFrog, because we are the standard makers in the binary storage of the organizations today. Not only that, the most exciting thing about managing AI models in LLM models is the fact that they are yet another form of binary. So whether you handle it or you build it inside the organization, or you bring it from outside your organization. Artifactory can be the only tools that support you unless you just want to dump it on a regular file server. The last thing that I would say is that these coders that you mentioned that are using copilot to build AI, basically Python developers, or data scientists that are using packages like Conda and CRun, all three of them are already natively supported in Artifactory. So for them is just a familiar place that they are going to fetch their model. And not just the AI models, but also the models that are coming with AI to train the machine. So we see big opportunities around that. As we mentioned, in our call, we are looking forward to share with the industry, what we build natively to support this demand. And as it goes back to the previous question, infrastructure optimization will get to a limit that from that point on it, it'll get back to what we used to see in the previous years.
Jonathan Ruykhaver: Okay, so I think what you're saying Shlomi is the opportunity is really around the ability of Artifactory to support all these AI models, which are just another form of a binary, is it and that is broaden the opportunity for a project for us, right.
Shlomi Haim: Artifactory is almost a default solution for that, when I asked ChatGPT about it, that's the question I got. So that's the most authentic way for me to validate that. And the other thing is XRAY, because you don't just want to have a dummy storage, you also want to have the right tool to enforce the policy before you bring any type of models from public repositories of AI. So you want a tool like XRAY that will say that if this AI model is coming with the wrong licenses, it cannot get into the organization. And that protect your software supply chain, you need tools like curation to block it from the get go. So the proxy will not be subjected to any type of malicious code or an open source license violation. So the all solution of JFrog is set to grab the fruits of this opportunity.
Operator: Next up is Robbie Owens, Piper Sandler.
Robbie Owens: Great, thanks for taking my question. And I want to drill down a little bit, again, into the cloud optimization being behind you. And I don't know if you've ever broken out for us the difference in gross retention rates between self-hosted and subscriptions. And or is there something in those trends that may show you that a lot of the optimizations behind you at this point, either from a gross or net retention perspective? Because I guess that might play into some of those questions around net retention for the back half of the year. Thanks.
Shlomi Haim: Yes, we, the only information of black collar that we provided on the difference between SaaS and self-hosted is that SaaS net dollar retention is higher than corporate and self-hosted is lower than corporate. Again, we believe that the storage optimization is kind of low hanging fruit, and those who wanted to do that most likely have done that, because we started seeing first optimization efforts about four quarters ago. And that sufficient time for customers to look at their storage environments, and make necessary steps for the data transfer optimization. It's, we believe, going to be ongoing effort. And that's what we said that first wave of optimization is behind us and going forward will be just seeing more efficient growth of our customers. There are no further questions at this time. I'll turn the call back to Shlomi for closing remarks.
Shlomi Haim: Thank you all for joining us on this quarter earnings call. And thank you for your questions. We're looking forward to keep executing and delivering more news from the swamp. Join us at swampUP, September 13 in San Jose, and by then May the Frog be with you. Thank you.
Operator: This concludes today's call. Thank you for attending. You may now disconnect.